Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to Pacific Ethanol Incorporated Third Quarter 2016 Financial Results. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Ms. Becky Herrick of LHA. Ma’am, please begin.
Becky Herrick: Thank you, Haron. Thank you all for joining us today for the Pacific Ethanol Third Quarter 2016 Results Conference Call. On the call today are Neil Koehler, President and CEO and Bryon McGregor, CFO. Pacific Ethanol issued a press release yesterday, providing details of the Company’s quarterly and nine-month results. The Company also prepared a presentation for today’s call that is available on the Company’s website at pacificethanol.com. If you have any questions, please call LHA at 415-433-3777. A telephone replay of today’s call will be available through November 10th, the details of which are included in yesterday’s press release. A webcast replay will also be available at Pacific Ethanol’s website. Please note that information in this call speaks only as of today, November 3, and, therefore, you are advised that information may no longer be accurate at the time of any replay. Please refer to the Company’s Safe Harbor statement on Slide 2 of the presentation available online, which says that some of the comments in this presentation constitute forward-looking statements and considerations that involve the number of risks and uncertainties. The actual future results of Pacific Ethanol could differ materially from those statements. Factors that could cause or contribute to such differences include, but are not limited to, events, risks, and other factors previously and from time to time disclosed in Pacific Ethanol’s filings with the SEC. Except as required by applicable law, the Company assumes no obligation to update any forward-looking statements. Also, please note the Company uses financial measures not in accordance with generally accepted accounting principles, commonly known as GAAP, to monitor the financial performance of operations. Non-GAAP financial measures should be viewed in addition to and not as an alternative for the reported financial results as determined in accordance with GAAP. The company defines adjusted EBITDA as unaudited net income or loss attributed to Pacific Ethanol before interest, provision or benefit for income taxes, fair value adjustments purchase account adjustment and depreciation and amortization expense. To support the Company’s review of the non-GAAP information later in this call, a reconciling table is included in yesterday’s press release. Now, I will turn the call over to President and CEO, Neil Koehler. Please go ahead.
Neil Koehler: Thanks, Becky and thank you all for joining us today. For the third quarter, we reported net sales of $417.8 million, a 10% increase over last year which was driven by records and total gallon sold of $243.7 million and third-party gallon sold of $118.2 million, in fact we are nearing a 1 billion gallon annual run rate for total gallon sold. These results reflect a 10% increase in our capacity utilization encouraged by the stronger margin environment and significant operating improvements at our Aurora, Nebraska facilities. Net loss was $3.8 million and adjusted EBITDA was a positive $9.3 million for the third quarter of 2016. During the third quarter, our bottom line was negatively impacted in part by a few notable items that totaled over $11 million including higher beginning inventory valuation, lower margins in our ethanol trading business resulting from the intra-quarter drop in ethanol prices, significant repair expenses and non-cash mark to market adjustments related to open hedge positions, most of these expenses are timing related that negatively impacted us in the quarter. Bryon will final provide more detail in this remarks. Although these results play significant real term improvement sequentially, our year-over-year results demonstrate our success in integrating and optimizing our Midwest assets. We continue to focus our attention on implementing projects that optimize our production, lower our carbon score and produce meaning near-term returns. During the third quarter, we received the first-ever proof of registration from the EPA for the production of cellulose ethanol from corn fiber at our Stockton plan, used in the Edeniq’s pathway combined with the Cellunator technology. With our 1 million gallons of production anticipated at this facility per year, this accomplishment is a major milestone for Pacific Ethanol as we are now generating high value D3 RINs together with the carbon credit under California’s low carbon fuel standard and the federal second generation biofuel producer tax credit, our cellulosic production is expected to provide a meaningful contribution to the probability of our Stockton plant and it is already generating targeted yield increases of greater than 2% attributable to cellulosic gallons. As we fine tune the operating and economic aspects of this process, we are evaluating the expansion of corn fiber cellulosic ethanol production to additional Pacific Ethanol facilities Last quarter, we contracted to install a 5 megawatt solar power system at our Madera plant which is the first ever commercial system installed at a U.S. ethanol facility. The system is expected to lower our operating costs by displacing one third of the grid electricity currently used, in addition to reducing our annual utility cost by approximately $1 million, the system will improve our carbon score and drive premium pricing on the ethanol produced. We expect to begin operating solar system at full capacity in early 2018. This week, we initiate start up of our industrial scale membrane separation system at our Madera plant. The system which separates water from ethanol in the plant’s dehydration process is expected to increase operating efficiencies, lower production costs and reduce the carbon intensity of ethanol produced at our Madera facility. We plan to begin commercial operations of our cogeneration technology system at our Stockton plant in December. This system will replace most of the electricity we currently purchase from the grid through delivering steam and electricity to the plant while lowering emissions which is expected to reduce our energy cost by an estimated $3 million to $4 million per year. With the acquisition of the Midwest assets in the third quarter of last year, we have successfully leveraged our leading market share position on the West Coast to other parts of the country, our strong year-over-year growth in third-party gallons is attributable to the expansion of our ethanol marketing business across the country through growth in existing and new regional U.S. market, additional logistics activities and new transportation agreements that enable us to expand our ethanol distribution capabilities. As an example, subsequent to the end of the third quarter, we signed a unit trade agreement with the TBW railroad which allows us to provide reliable and efficient service to customers in new markets at lower cost. In October, we shipped our first-ever unit train from Pekin and by the first quarter of 2017, we expect nearly 100% of our real shipments will migrate from single manifest cars to unit trains or barges. Overall, industry fundamentals are trending quite positively, domestic and global demand for ethanol as a preferred high octane low carbon fuel source continues to be very strong. Daily production run rates for the industry recently declined the fall maintenance and the days of supply on hand has recently reached the loss levels of the year giving the industry a reasonably snug supply and demand balance. Meanwhile corn prices remain stable to a week round $3.50 per bushel range as farmers are finishing hardest of the largest U.S. corn crop ever and ethanol prices have remained firm supporting an improved margin environment. Industry margins thus far in the e fourth quarter have been stronger than average margins in the third quarter, California’s low carbon fuel standard continue to support the investment in new technologies that improve carbon scores and generate higher premiums on the ethanol we produced. During the quarter, our California plants an $0.08 per gallon price premium compared to the benchmark Midwest Ethanol. The passage of SP 32 in the just ended California legislative session granted the legal authority for the state government to extend California’s world leading carbon reduction strategies to the year 2030. The California Resources Board has now initiated the public process for extending LCA [ph] program to 2030 with yet to be determined carbon intensity reductions beyond the 10% required by 2020. The 10-year extension of program will enable Pacific Ethanol to make water return a longer term and larger capital investments to further reduce the carbon intensity of our ethanol further enhancing our competitive advantage in the lucrative California market. At the Federal level, the EPA has submitted its proposed final 2017 volume requirement targets for the renewable fuel standard to the White House office of management and budget. The EPA proposed increasing the amount of conventional renewable fuel to 14.8 billion gallons in 2017 from 14.3 billion in 2016. In its proposal the EPA said blending would rise from 10.1% in U.S. fuel supplies in 2016 to 10.44% in 2017 proving that we have moved beyond the so-called 10% blend wall We expect the EPA to issue the final rule by the end of this month, with a backdrop of strong ethanol demand and a record corn crop, we see a supportive environment for ethanol into 2017, oil prices are forecast to be stable or move modestly higher. Supply and demand in the ethanol industry is expected to remain generally balanced, domestic demand just strengthened as E15 expands driven by new infrastructure and higher blending levels call to work in the RFS. We expect RIN surpluses to decline somewhat in 2017 which will send further price signals for incorporating higher physical volumes of ethanol into the fuel supply. And export forecast remained robust as U.S. produced ethanol continues to be the most competitively priced octane component in world markets. This year, we project a lees course of close to 1 gallons approximate 10% higher than 2014 and we anticipate further increases next year. All these market trends combined with our efficiently operating assets bodes well for a strong finish to 2016 and a solid 2017 for the company. I would now like to turn the call over to Bryon for review of the financials. Bryon.
Bryon McGregor: Our consolidated financial results for the third quarter were as follows, we reported net sales of $417.8 million compared to $380.6 million in the third quarter of 2015. This represents a 10% year-over-year increase attributable to a record 243.7 million gallons sold during the third quarter which was driven by increased production and third-party sales. Cost of goods sold was $411.4 million compared to $388 million in the same quarter last year. Gross profit was $6.4 million compared to a gross loss of $7.4 million in the third quarter of 2015. As a reminder in the third quarter of last year, we recorded approximately $8.7 million in acquisition related accounting adjustments the increase also reflects improved production margins compared to the prior year. G&A expenses were $6 million compared to $7.4 million in the third quarter of 2015. The reduction in SG&A reflects lower professional fees as well as some of the synergies related to the integration of our Midwest assets Neil mentioned earlier. Income from operations was $393,000 compared to a loss of $14.8 million in the prior year period. Interest expense was $3.9 million compared to $5.2 million in the third quarter of 2015. The decrease is attributable to a lower debt balance compared to the prior year as well as the capitalization of interest on capital projects. As Neil mentioned earlier, in the third quarter, our bottom line was negatively impacted in part by some extraordinary cash and non-cash expenses totaling over $11 million, the majority of these expenses are largely timing issues and resulted from high beginning inventory levels that carried elevated production cost relative to then rapidly declining market prices. We account for our major input expenses on a FIFO or first-in, first-out basis. Accordingly, our production cost reflect a higher input expense in the following price market and inversely reflect lower production cost in rising price periods. The precipitous drop in corn and ethanol prices from the end of June through July resulted in high-priced cost of goods sold relative to sales negatively impacting this quarter’s results. We expect with the recent rise in commodity prices to benefit from lower subsequent production cost. Further, to mitigate some of the commodity price volatility exposure, that take advantage of relatively solid forward margins in Q4 and Q1 2017, we locked impositions on some of our feed and ethanol business which resulted in non-cash mark to market adjustments as that inventory was valued at a time we support prices were at a sickable [ph] low levels. We expect to realize the gains from these positions through the rest of the year and into first quarter of 2017, as the underlying sales generate expected revenue. The short-term decline in ethanol prices in the first half of the quarter also squeeze our margin in our ethanol trading business, inversely in rising ethanol low price periods, our trading business margins expand taking this into account and evaluating the performance and profitability of our trading business year-to-date, very pleased with its results. Finally, we incur short-term extraordinary expenses for equipment repair leading to our lower than anticipated gross margin. Net loss available to common stockholders was $3.8 million or $0.09 per share. This compares to a net loss of $15 million or $.36 per share in the year ago period. Adjusted EBITDA was $9.3 million compared to $2.4 million last year. The nine months ended September 30, 2016 net sales were $1.2 billion compared to $814.4 million in the same period last year. SG&A was $20.4 million compared to $16.3 million in the nine months ending September 30, 2015. Net loss available to common stockholders was $12.6 million or $0.30 per share compared to $90 million or $0.63 per diluted share in the same period of 2015 and adjusted EBITDA was $31.3 million compared to $5.2 million for the 2015 period. Now, turning to our balance sheet, cash and cash equivalents were $40.6 million at September 30, 2016 compared to $52.7 million at December 31, 2015. The decrease from cash was primarily due to over $27 million in debt and interest payments and $40 million in CapEx paid year to date, partially offset by significantly higher cash flow from operations. Sequentially cash balances improved by approximately $9 million over the prior quarter. Our third-quarter capital expenditures were in line with guidance at approximately $7 million mostly related to plant improvement initiatives. We continue to expect our full year 2016 CapEx spend to approximate $15 million. Working capital was a deficit of $15.9 million at September 30, 2016 compared to a positive $125 million at December 31, 2015. This decline is largely result of the reclassification of our $155 million term loan from long-term to current debt consistent with this maturity the September of 2017. Addressing this term loans remains a key priority, as such we are actively pursuing a number of alternatives to refinance this debt on favorable terms and will provide greater details when appropriate. With that, I will turn the call back to Neil.
Neil Koehler: Thanks, Bryon. We are committed to our successful strategy of evaluating and in testing innovative technologies that optimize current efficiencies, improve our carbon score ultimately enhance our profitability. Bryon mentioned, it remains the high priority for us to reduce our cost of capital by restructuring our term debt and we will continue to leverage our diverse phase of production and marketing assets to expand our share of renewable fuel and co-product feed markets. With that Howard, I would like now to open the call for any questions.
Operator: [Operator Instructions] Our first question or comment comes from the line of Eric Stine from Craig-Hallum. Your line is open.
Eric Stine: Hi, Neil. Hi, Bryon.
Neil Koehler: Good morning, Eric.
Eric Stine: Good morning. Maybe just on the $11 million just to dig in there a little bit more, I mean it sounds like, I mean fair to say the loss in the trading business, I mean, that’s normal course of business but it sounds like the rest of that it and that that is truly one time in nature, so, I mean, the thoughts there but also to confirm, I mean, just it sounds like you also beginning of the quarter and then end of the quarter had tings work against you but really I mean, if you take out the quarter end timing of it, I mean, those things offset and it’s basically a wash, is that, I mean, is that a way to put in plain English?
Neil Koehler: I think that is a reasonably fair way to think about it. And these revolve to market, so it’s hard to say there you know probably non-recurring but in the case of this quarter beginning in the end, I think you stated that very accurately, we had a situation where we had a very large drop of both corn and ethanol prices from the beginning of the quarter to really into early august, we actually have higher than normal plant orders [ph] at a higher than market corn cost and so that was you know that was a timing issue that certainly negatively impacted the earnings and at the back end of the quarter, the opposite was true, it actually had less plant inventory and at a lower cost. So there is an offset and we expect to see that benefit in Q4. You actually say on the marketing side that’s you know same as true there. When you are carrying finished inventories as we do in transit whether in unit train, single cars, tanks and the market drop close to $0.30 a gallon of between the beginning of the quarter and early August while we’ve seen the opposite happen here at the subsequently end of Q3 into Q4 the ethanol prices moved up so we would expect to cash in at that back and as Bryon said that year-to-date performance, we always experience those fluctuations in the marketing business and we do our best to manage it and year-to-date, we are very pleased with the performance of the trading business.
Eric Stine: Got it. And then, I mean, just on the repairs, you know, any, I mean, are those repairs now complete, is there any insurance you know component to that recover some of those cost going forward?
Neil Koehler: Yes, they are largely complete and while we were not able to accrue any additional insurance monies and we did take up a pretty good hit in the quarter, we do anticipate that there will be some additional insurance monies that will offset that.
Eric Stine: Okay. Maybe just turning to maze, I am sorry basis, quick. I mean, I know in the third quarter, it looked like freight was tight there for a while, it seems like that’s loosened a bit. And then you know, the corn price even though record crop, it has remained kind of stubbornly high at that this 345, 350 range at least on the board but probably made up for in the carry, I mean, how should we think about basis in fourth quarter and you know, I know things can change but maybe an early look at 2017?
Bryon McGregor: Well, we definitely had seen a pretty wide basis particularly in the western end of the corn belt, so that is beneficially impacting our Nebraska operations as well as all of our destination Western region plants. I mean, we have basis levels $0.20, $0.30 under the board and in some cases given the – on the very nearby to get the crop moving which is now about has the money probably about 90% harvested and literally in some areas of the western corn belt they are running out of places to put the corn and that is creating even more pressure on basis and more pressure on freight. We have been able to pick up some spot corn headed west at basis levels that are more equivalent to $0.30, $0.40 under the board. So looking very good, a little stickier in the east, we are seeing basis levels that are at or just a bit below the border through Illinois but strong product values in those markets particularly on the feed side seen a little uptick actually in distillers grain prices which has been encouraging. When you get into 2017, then it’s always an issue of how many exit [ph] we planted and you can see some volatility in basis. But what we have is a incredibly large crop, the biggest ever projected carry out of the end of next year of close to 2.4 billion bushels which should be the highest on stocks to use ratio, the last 10 or 11 years. Argentina, Brazil, I mean, we are world production of corn uptick as well. So we generally see a very stable if not declining corn price and a attractive basis level that go along with that. That’s what gives us with a relatively balance supply demand – balance on the ethanol side of it, give us a lot of optimism for the coming year from a margin standpoint.
Eric Stine: Got it. Okay, thanks. Last one, just on SG&A, I know that last quarter the commentary suggested that it might, it might see an uptick in you know maybe $7 million per quarter was more of a normalized rate and you had a 6 million number in this quarter, just how should we think about SG&A in fourth quarter and maybe in 2017 as well?
Bryon McGregor: Clearly we are trying to over deliver here. Our, clearly it reflects couple of things, Eric, one is being able to keep our third party professional cost down and that continues to be our target, so clearly we are going to continue to issue further 6 million range. I am not comfortable in providing any particular guidance going forward. But we shouldn’t expect it to exceed the numbers that we have given you in the past and hopefully habitating more towards the lower numbers.
Eric Stine: Got it, okay. Thanks a lot.
Operator: Thank you. Our next question or comment comes from the line of Craig Irwin from ROTH Capital Partners. Your line is open.
Craig Irwin: Good morning and thank you for taking my questions. So the first question I have is fairly one of…
Neil Koehler: Good morning, Craig.
Craig Irwin: Thank you, good morning. So the first question I have is really one of clarification, the $11 million in onetime items, I just wanted to confirm that this is not taking out of a $9.3 million in EBITDA that you reported as an adjusted number and if we do remove this, then we are looking at a fully adjusted number more like $20.3 million and maybe $0.17 in EPS, am I looking at things correctly.
Bryon McGregor: That’s correct.
Craig Irwin: Okay, excellent. So this, you know, on a headline basis not strong but actual performance was a very strong quarter, that’s good to hear.
Neil Koehler: Yes.
Craig Irwin: Moving on to a separate subject, there has been discussion out of high incremental renewable capacity in the ethanol market at the end of 2016 some plants could potentially be forced to slow down more than they usually do in December. These are something where you have any exposure yourselves at Pacific Ethanol, is this something you are watching for potential margin impact in the fourth quarters, are you hearing this from any of the partners that you are doing business with?
Neil Koehler: There has been some talk of that, it’s hard for us to evaluate. We are not impacted by that actually where we have plans to get west where 100% of our co-product is wet. There already is a established pathway for us to generate RINs beyond our grandfathered amount. So that’s actually a competitive advantage that we have and we don’t have an issue running up against that our other facilities as well this year. There are quite a number of plants that through the efficient producer process of EPA have been granted the ability to generate extra RINs, so you know, that offsets the comment you made. We are aware that there are some plants that may run up against that, a limitation and how that will impact production levels is a little hard to definitively say, but it could have an impact I clearly at this time of year we start seeing demand come off a bit and it’s our view that producers need to make sure we keep calibrated to that and make sure that where we have a pretty good supply demand balance we maintain that through moderating production levels if that’s what it takes to get to the higher demand that we see both from continued exports and seasonally in the U.S.
Craig Irwin: Great, thank you for that. Then moving onto the subject of your cellulose production, can you maybe give us a little bit more color on the total gallons that you produced to-date using the Edeniq technology, are you receiving RINs already on these gallon, what’s the prospect to roll it out of plants and is the unusual sales process or interruption of the sales process of Edeniq having any impact on your ability to use the technology.
Neil Koehler: Answering your first question, your last question first, no it has had no impact. We have a license to use that technology and to-date the legal issue has not had any impact whatsoever on that. We just recently received the pathway from EPA, we then had to reorder the enzymes and starting in the month of October, we began to generate D3 RINs, we had generated a few, and we’re trying to determine the exact amount of that through the demonstration process that we believe we will be able to recover as well but we are in steady production as of October and as we mentioned in the prepared remarks, we are generating over 2%, so on a 60 million gallon plan that would be over 1 million gallons on an annualized basis of D3 RINs and as we are now in the market starting to sell those we stand by our belief that on a premium basis, you know, net basis would be assuming that producer tax credit, the second generation producer tax credit continues as well as the D3 RIN values we are seeing and our anticipated pathway for carb that we will see a premium value on that gallons of $2 a gallon.
Craig Irwin: Thank you for that. So, I also wanted to ask about what you are seeing for crush margins in the fourth quarter. Other competitors of yours have talked about a strong environment and potentially one of the strongest quarters that we’ve had in years. Is this something that you are also seeing and can you comment about whether or not your West Coast plants are seeing even greater potential for margin upside given the potential for margin spikes there?
Neil Koehler: Yes, I mean, the quarter is only a third over and as we all know this is very volatile business but as we outlined in our remarks, we see a very constructive environment and we see the supply demand continuing to be tight. We see exports. This could be the biggest export quarter in history with high sugar prices in Brazil shifting more to sugar production. We anticipate them to be a large importer in Q1 as well. So that helps offset the seasonally lower demand in the United States, lower corn prices and it is the case that in the first part of Q4, we’ve seen some of the best production margins in the industry and in at our company that we’ve seen all year.
Craig Irwin: Great. And then last question if I may. Kinergy, in the many years that I’ve followed Pacific Ethanol, I haven’t, I don’t believe I have heard you call out swings in commodity cost as far as something that impacted margins at Kinergy, can you maybe discuss with us how you protect profits in this segment, value at risk, you know, how you typically lock in commitments on both sides and where the opportunities are for since either increase or subtract from profitability and any core?
Neil Koehler: Sure Craig. And we have mentioned in the past that there – we are subject to the swings in price particularly when it happens rapidly. The real, the on the material price risk that Kinergy has is on the inventory that it hold, so in transit and return it very quickly, but when you see a market move $0.10, $0.20, you know, in some cases $0.30 over a couple of week period of time then that is definitely going to have an impact. We do put on some position to protect our inventory, but given basis risk and other variables it’s a very imperfect hedge. So there is exposure on the way down and there is benefits on the way up. We obviously have the ability to see these trends, we try to minimize those inventories when prices are falling and you’ll expand them when we see an opportunity on the upside and on balance we done very good job of managing that which is why Kinergy has always been a very profitable part of our portfolio, and will continue to be. So that’s really, it’s that simple and we buy on a fixed-price basis, we sell some on a fixed price basis but we sell most on an index, so there is some risk around that but these markets are very predictable in that regard and frankly Kinergy been out there buying fixed price ethanol, we’ve become a market maker and that provides some insight into markets and helps us to pull [ph] the ability to have some impact on how these markets move. So it’s a very, very, important part of what we do, the producer marketer model trading around our assets, production assets with marketing providing valuable services to our partners and as you can see it from our results, it continues to be a growing part of what we do.
Craig Irwin: Great. And just a question on Kinergy as well. So, Kinergy is a very large part of the ethanol in California, your marketing efforts there really just on, great job serving the state over the last many years. Is there any [Technical Difficulty]
Neil Koehler: [Technical Difficulty] ethanol as well because of the distribution system that we have that makes that as a natural outlet for that through our managing logistics, managing inventory for our customers, having our own downstream distribution beyond just our plants, leveraging our plants essentially is terminals for ethanol coming into the state, we produced 200 million plus gallons in the State of California in a market that’s about 1.5 billion so there will always be trade of ethanol coming in and we are very well positioned to continue to take advantage of that. That’s why we put a lot of effort in plant level to continue to drive our carbon scores down because that’s, you know, that’s what gives us this competitive advantage our customers really need and increasingly when we go from 2% reductions to 3.5% reductions starting January 1, there is really going to be a need to continue to keep ethanol relevant by bringing the carbon scores down, so that we can provide that value to our customers and that’s our mission and our objective.
Craig Irwin: Great, thanks again for taking my questions. I will hop back into the queue.
Neil Koehler: Thank you, Craig.
Operator: Thank you. Our next question or comment comes from the line of Sameer Joshi from Rodman & Renshaw. Your line is open.
Sameer Joshi: Thanks, Neil. Thanks, Bryon. Just following up on the D3 RINs cellulosic ethanol, do you require any additional capital expense to bring this 1 million on line or is that all done?
Neil Koehler: The capital expense is done, it was investment in the Cellunators which also improved our starch yield so they were justified on that basis but they also become the pre-treatment for the corn fiber and then it really was the elegance of the process, it utilizes our existing fermentors, and then the addition of a non inexpensive cellulose enzyme that we add to the process once the corn fiber has been pre-treated through the Cellunators and so there is no additional capital investment. There are some high operating costs related to the enzyme.
Sameer Joshi: And from an engineering point of view does it in any way disrupt your non ethanol, non- cellulosic ethanol production?
Neil Koehler: No, you can think about it as really just being very synergistic and true in [ph] the overall yield from a bushel of corn because it the fiber that’s in that corn kernel that we are converting. So very additive, it actually take some – some of that fiber was going through as feed, so to the extent that 2% of that balances now going to ethanol that’s a little less feed that we’ll be producing and in this case it’s more valuable as cellulosic ethanol than it is as distillers grains, so that’s positive, so…
Sameer Joshi: And just one clarification, I mean, we misheard, is it in 2018 that this will be in full production at 1 million gallon or is it 2017?
Neil Koehler: It’s on an annualized basis it’s – we’re confident that we will get over 1 million gallons and that run rate started in the month of October about mid-October. So we will see the better part of that run rate in Q4.
Sameer Joshi: Got it, okay. And in terms of overall sales, I heard you say 1 billion gallons in the year, is that a annualized run-rate for the next quarter or is it for 2016 because from my calculation you have sold just under 700 million gallons through September, dealers as well as merchant, so you will need to sell more than 300 million gallons, is that right?
Neil Koehler: That will be right and that’s – that is not what we said. What we said was that if you look at Q3 on an annualized basis, so our sales continue to increase and if you annualize Q3 back would be close to 1 billion deal, so that is our current run rate and that’s our current run rate in Q4 as well.
Sameer Joshi: Great, great, got it. Most of my other questions are already answered. Thanks for that.
Neil Koehler: You’re welcome.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of Jeff Osborne from Cowen and Company. Your line is open.
Jeff Osborne: Yes, good morning, guys. I was wondering if we could dive in back into the $11 million of kind of extraordinary items. Is there a way Bryon, that you could kind of laundry list the scope of each of those in particular the repairs and the hedging losses?
Bryon McGregor: Yes, I mean, I think, the way I portray it and say, we mentioned in the prepared remarks the majority, so that’s over half of that $11 million is attributable to the high inventory prices and the big hedges into Q4 and Q1. Rather than pretty hard numbers, you are trailing, I don’t want to say it’s minimal, but the repair costs are relatively minimal part of it, but at least notable and that’s when we bought up the point.
Jeff Osborne: I assume, because you highlighted the 10% utilization improvement and I know that’s a safe assumption that the repair was at Beacon.
Bryon McGregor: Yes.
Jeff Osborne: Got it. And then can you just address you highlighted the industry and the export opportunity that others in your peer group have highlighted as well, but did you particularly have any notable export volume in Q3 and any anticipation of that in Q4 and as we move into 2017?
Neil Koehler: We continued to focus on that. If you look at our West plants, since we are sort of the export market at the United States, the highest value is always as close to our plants as possible. So, none of that volume would be exported in Nebraska. We do spread well to the goal of some of our product. We don’t carry it on export, but some of that has been exported. We are currently – that, that plant is well positioned not only from a logistics standpoint, but also from a technology standpoint to produce the various export grades of ethanol. So, we are in the process of obtaining a DSP permit from the TTB, the federal agency that regulates that, so that we can ship under natured ethanol from that plan and be more directly involved next quarter. So, that is a focus. There is premium for that. We have the ability to produce those grades. And we anticipate that to be part of our program in 2018.
Jeff Osborne: That’s great to hear, Neil. And the last question I had is you provided a tremendous amount of detail on this call on prior calls, just about how you are squeezing more value out of the existing plants that you have, in particular, in California? Was that being set in with the step up of the CARB requirements and likely additional step ups in 2020 and beyond, any kind of preliminary thoughts on CapEx plans for 2017 at this juncture that we could think about?
Neil Koehler: Yes, we are developing that now. So, rather than speculate, I think certainly when we get to our next earnings call we will provide you some good detail on that. And you are right with – and we did say that with CARB and the extension. What we need to see from the State of California is that actual extension of tenures, because some of the projects that we are looking at, we have mentioned in the past, I don’t know with the adjustments is a notable one where we can just place a good amount of the natural gas we use with biogas. We are now looking at investments that are between $10 million and $20 million and a investment horizon that goes beyond 2020. So, we are in the state hears it loud and clear and it’s why they are moving on a workshop process, because they want to make sure that companies like ours are properly incentivized to make those more fundamental investments. And so as we see the signals from state government California, see the signals from other governments if this program expands as we see more clarity on what happens with the RFS post-2022. We will calibrate our capital expenditures accordingly, but we anticipate that we will be making some material investments to continue to drive down the carbon footprint and the efficiency of our process that we can continue to be very relevant to our customers.
Jeff Osborne: Excellent. I appreciate the detail. Thank you.
Neil Koehler: You are welcome.
Operator: Thank you. [Operator Instructions] I am showing no additional questions in the queue at this time. I would like to turn the conference back over to Mr. Neil Koehler for any closing remarks.
Neil Koehler: Thanks, Howard and thank you all for joining us today. Appreciate that support of our shareholders and we will look forward to speaking with you next quarter. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.